Operator: Good morning, and welcome to the USA Truck's Third Quarter 2020 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] Please note, this event is being recorded. I’d now like to turn the conference over to Mike Stephens, Senior Vice President, Finance, Strategy and Investor Relations. Please go ahead.
Mike Stephens: Thank you, Grant. Good morning, and welcome to USAT Capacity Solutions third quarter earnings conference call. Joining us this morning from the company are James Reed, President and CEO; and Zach King, Senior Vice President and CFO. We thank you for joining us today. In order to help you better understand USAT Capacity Solutions and its results, some forward-looking statements could be made during the call. As we all know, forward-looking statements, by their very nature, are subject to uncertainties and risks. For a more complete discussion of factors that could affect the company's future results, please refer to the forward-looking statements section of the company's earnings press release and the company's most recent SEC public filings in order to provide more meaningful comparisons, certain information discussed on the conference call, could include non-GAAP financial measures as outlined and described in the tables in our earnings press release. I'll now turn the time over to Zach.
Zach King: Thank you, Mike. We want to thank everyone for joining us on the call today and appreciate your interest in and support of USA Truck. We hope you all had an opportunity to review our earnings release from last night. As we stated in the release, the third quarter was the tale of two freight markets. The first half of the quarter was much like the second quarter, where the marketplace downward pressure on price and volume, and required us to transition more trucks to the press – spot market. However, around the middle of August, we experienced a tightening of capacity, which abruptly strengthened customer demand. We believe this shift was the result of approximately 1.3 million people in the trucking industry, still unemployed, when compared to the 500,000 receiving unemployment benefits at this time last year. This was according to the Bureau of Labor Statistics. When coupled with limited supply of new driving professionals entering the workforce due to COVID-19 concerns and truck driving school closures, it created capacity constraints. These constraints positively impacted both of our segments, increasing our base revenue per loaded mile in Trucking, and our revenue per load in USAT Logistics, that made it more difficult to recruit qualified driving professionals and increased costs when securing third-party capacity. If you'll please turn with me to Slide number 3, we'll do a brief review of our financial results. Consolidated quarterly operating revenues came in at $141.8 million, which represents an 8.3% increase year-over-year. Base revenue was up 14.5% excluding fuel. Consolidated adjusted operating ratio for the quarter was 96.4%, down from 99.7% in the prior year, primarily driven by improvements in our base revenue per mile in our Trucking segment and increases in revenue per load in our USAT Logistics segment, while controlling our cost structure. Our adjusted earnings per diluted share was $0.29. Turning to Slide 4, Trucking operating revenue before intersegment eliminations increased $3.8 million or 4.1% to $97.4 million. Base revenues excluding fuel were up 10.1% to $89.5 million compared to $81.3 million for the third quarter of 2019. Our Trucking segment generated $3.8 million in adjusted operating income and a 95.8% adjusted operating ratio, which is the third – the best third quarter Trucking adjusted operating ratio in over a decade. The primary drivers of are these results with was $0.19 increase in base revenue per loaded mile, went to pair to the third quarter of 2019. Utilization also increased 14 miles per truck, or approximately 1% from the third quarter of 2019, related to our continued regionalization strategy. These rates and utilization outcomes positively affected base revenue per available tractor per week, which increased $318 or 10.1% year-over-year. Our deadhead percentage for the third quarter of 2020 improved by 70 basis points from the second quarter. The average available tractor count for the third quarter of 2020 was 1,969, which is a 1.1% decrease when compared to the third quarter of 2019. This truck count decrease is the result of continuing to moderate our fleet to improve asset utilization and profitability. Turning to Slide 6, we will review the results of our USAT Logistics segment. Revenue before intersegment eliminations increased $12.7 million from the third quarter of 2019 or 32.2% to $52.1 million. Our logistics segment generated $1 million in adjusted operating income and had a 98% adjusted operating ratio. Gross margin dollars increased $1.1 million to $5.9 million in the quarter. Gross margin percentage for the third quarter of 2020 was 11.3% versus 12.2% for the comparable quarter in 2019. Load count decreased to 32,100 loads during the third quarter from the 33,400 loads in the second quarter, a decrease of 3.7%, but increased by 4% or approximately 1,200 loads year-over-year. This market environment drove our margin per load up to $183 per load from $156 per load year-over-year. If you'll turn with me to Slide number 7, we'll highlight some key balance sheet liquidity measures. As of September 30, 2020, total debt and lease liabilities were $182 million, and stockholders' equity was $78.2 million. Net debt was $180.8 million and our net debt to adjusted EBITDAR for the trailing 12 months was 3.5 times, down from the 4.1 times in the second quarter. This decrease is the result of a net debt decrease of $8.6 million from the second quarter of 2020 and a $5.4 million improvement in our trailing 12-month EBITDAR. The company had approximately $47.6 million available to borrow under its credit facility as of September 30, 2020. As discussed in prior quarters, we continue to expect minimal CapEx through the end of 2020. However, as discussed on our last call, during July, we did enter into an agreement to release 189 new tractors and dispose of certain high cost tractors during the back half of 2020. To-date, we have received approximately half of the total tractor order and expect the remainder of those tractors to be delivered throughout the remainder of the fourth quarter. With that, I'll now turn the call over to James.
James Reed: Great. Thanks, Zach, and good morning to everyone. I hope as you review the release that you see what we see, a wonderful back half of the quarter helped by market strength, delivered through the hard work of implementing our self-help improvement plan and a promising start to what looks like a sustained performance improvement for USA Truck. Today, we will offer updates on a few distinct vectors. The first is market dynamics and segment performance in the quarter; next we'll discuss an update on our progress and our self-help transformational initiatives; and finally, I'll give some commentary on how we see things going forward. Before we begin, we want to give a brief update on our COVID-19 response and what we're doing in the realm of diversity and inclusion as well. Our COVID-19 response has gone quite smoothly. Our well-established contingency planning criteria and governance policies borne from our experience in the 500-year flood of 2019 here in the River Valley have allowed us to continue to run our business seamlessly. The USA Truck team is mostly working remotely still, and we have adopted a semester view of onsite work arrangements. Currently, our non-essential functions are working remote through the end of the year. We find it less worrisome and more predictable for our team when it comes to childcare and managing outside commitments to be definitive about our plans over a longer horizon and thus the semester view of things. So our next assessment will be in the spring and we'll update you in our next release as to that. Our essential and quasi-essential customers made up just under 80% of our freight mix in the quarter, which is down slightly from the second quarter. And so we had some really good performance in the quarter, despite the weak non-essential shipper market. I said this before that, while there may be non-essential elements to the economy, they were essential to our network, and we'll talk a little bit about that later. We believe that when the non-essential shippers return and they started shipping again in the fourth quarter, there will be even more freight to service in the marketplace than there is today, and that's a great thing if you're a trucker. Last quarter, we made pronouncements about our efforts to become even more diverse and even more inclusive in our business. Since then, we've had over 90% of our non-driving team, complete unconscious bias training. We recognize Hispanic American heritage month together. And I took on the role as Chair of the American Trucking Associations Diversity Working Group. We are taking diversity and inclusion of USA Truck very seriously, and you should all expect to hear even more from us in the future. Now, moving to dynamics and segment performance in the quarter. The third quarter of this year came in like a lamb and went out like a lion. As Zach noted earlier, the current market didn't even really get started until the middle of August, and at that point, we saw demand strengthened significantly. Capacity constraints exacerbated, allowing us to benefit from both a healthy freight market and an enhanced business with many initiatives ready to leverage the opportunity. We believe today's market will be strong for at least several quarters because of structural industry changes that are not quickly resolved. Inventory levels are relatively low, especially retail inventories, which are near all time lows. Driver availability remains a challenge for all the reasons Zach noted, and there does not appear to be a rush of capacity into the marketplace. Additionally, there have been five hurricanes that made U.S. landfall this year; four in the quarter causing nearly $30 billion in damage. We hope and pray for the safety and quick recovery of the people and communities affected, but also realize that there was a time in the not too distant past that hurricanes had a profound impact on supply chains. I'm certain that these hurricanes only further broaden any shortcomings in trucking supply that already existed. So to recap, there's a significant two-dimensional market in play, both supply and demand dynamics supporting a strong trucking market. And the key economic drivers of this dynamic are not quickly resolved. What a great time for our operationally improving business to intersect with the opportunity. Our Trucking segment made meaningful progress in the quarter by delivering the best third quarter OR we've seen in over a decade. It is clear to us that our regionalization efforts have truly taken hold. As the model has seeded more and more local control of the operations to the regional leaders, we have found that they make better, more profitable and more consistent decisions than our previously centralized model could accomplish. Truly, it's a case of think globally act locally as our strategy is working to improve profits even beyond the market. The signposts of this progress are all in the normal indicators we like to look at in trucking. Base revenue per available tractor was up 10.1% year-over-year and 15.2%, sequentially. Base rate per loaded mile was up 9.1% year-over-year and 13.4% sequentially. Loaded miles per available tractor were up slightly, but have risen even further in the fourth quarter. So far, our utilization in the fourth quarter is up over 5% when compared to September, which was the highest utilization month in the third quarter. And finally deadhead percentage improved by 110 basis points year-over-year and 70 basis points, sequentially. Last earnings call, we discussed initiatives that we were working on. This quarter, our results reflect our progress. I want to talk about some of those things specific to trucking. Regionalization has affected all of our key operating metrics. Through our efforts to regionalize, we have recognized higher realization, better deadhead miles, lower maintenance costs and significantly higher driver retention rates. Utilization or loaded miles per tractor was up only slightly in the quarter, but the loaded miles per available tractor, as I meant earlier, began to rise late in the quarter, as we found a regional cadence and improved utilization by slip feeding and shuttling or swapping freight. Essentially, since we had a hard time finding and seeding teams due to the pandemic concerns, we found ways to get team-like utilization from our assets while preserving solo jobs. Since the quarter closed, our loaded miles per available truck is up more than 5% as I mentioned earlier. Maintenance costs are tough to discern due to the mix in tractor ages from year-to-year. However, a cohort analysis by tractor age across multiple years found that our average CPM is down 6% since launching our regionalized maintenance. This shows up in the form of lower overall costs year-to-date and year-over-year total costs that are above the level. But we see the best outcome as our tire programs, our in-house maintenance programs and our latest terminal opening in Waxahachie, Texas becomes fully operational. Intersegment collaboration between our logistics business and our trucking segment reached an all-time high in the quarter. One might even say that the expected synergy between the two segments that so many companies aspire to actually is occurring here at USA Truck. It is in large part of credit to the leaders of the two segments that they have figured out how to flex, collaborate and engage customers in a way that the business truly benefits. During the quarter, there were weeks where the trucking segment’s Top 10 customer list included USAT Logistics, our other operating segment. Over the quarter we averaged just 5% of our business in the spot market at large, but we were able to access the spot environment through the collaboration with our logistics team, whereby our logistics customer freight moved on USA Truck assets. It made up 9% of the truck load business excluding Davis and dedicated. This created a wonderful margin outside while supporting customer commitments in our logistics space. It truly was a win-win. Another aspect I want to hit on is pricing discipline, it is perhaps the most impactful, most lasting and most important thing we did in the quarter. We deployed and executed our pricing discipline. This is part of our cadence that came as a direct learning from 2019. We learned in 2019 that we want to bid and win freight abundantly and we counted on as we said then the prisoner's dilemma in the sense that it is always best to have more freight and negotiate either up or down, then not to have enough freight to begin with. We bid aggressively in the last bid cycle to win freight and continued to do so today, that gave us a strong freight base from which to work. I want to be very clear about this. We did not institute across the board price increases. However, we increased our rigor benchmarking pricing by lane and revisited areas where price, market and capacity imbalances warranted surgical customer conversations. We had collaborative and constructive conversations with our customers and saw our contractual rate per loaded mile, which is a measure we use internally that excludes any sort of accessorial, it increased by 9% in the quarter. For the first time in my career, some of these increases were preemptively instituted by large customers themselves, but most were directly the result of our engagement with our customers. It was tedious and time-consuming but we believe it will accrue to our benefit to the fourth quarter and beyond. The next point in the trucking segment is driver retention. Driver retention improved nearly 20% year-over-year in the quarter and 50% in September alone. So much of our success is a result of our rhythm of the business, our cadence finally taking hold. Daily reviews of drivers at risk of leaving, daily outbound calls to drivers who have applied to competitors and marketing our own features and benefits to existing drivers have been key to our improvement in driver retention. Additionally, the management team now does unsolicited outbound calling to the drivers on a monthly basis and the relationships forged by regular regional terminal interactions cannot be overstated. Our plan is coming together and I would be re-missed if I didn't mention Davis Transfer and dedicated, they both continue their consistent cadence marches they have in prior quarters. Our dedicated OR did slip a little bit, but remains accretive to the business as we have been engaged in multiple startups this year, especially in the dollar store category. Dedicated truck count is up another 20% year-over-year and is a great growth engine. If we can only find the drivers to seat these trucks, we have over 100 additional contracted trucks that we are working actively to seat. The Davis business in particular has been a steady low-90’s of OR business through the trough of the cycle and we are now expecting even better performance in the fourth quarter, is the first of several quarters we expect to have the full benefit of a healthy cycle. Davis is our best evidence of what is possible in a truly regionalized model and we continue to model our regionalization efforts after Davis. And finally, technology, we completed what we call our back-to-basics TMS project in the quarter. That literally took operators working in six or more screens simultaneously to two. Besides improving the workflow and the work experience, we simply have happier operators. And we believe finally getting our technology from a legacy platform four years ago to a current version released last year, to finally an optimized delivery in this quarter is contributing to our much improved results. I'd like to talk about our Logistics Segment. The Logistics segment revenue engine that we've been discussing last couple of weeks had a chance to hit its stride in the quarter. Gross margin dollars grew 21.9% year-over-year and 24.8% sequentially. While gross margin percentage was down both year-over-year and sequentially owing to the increasingly competitive market, the revenue per load was up considerably by 27.2% year-over-year and 39.6% sequentially. Operating income with a high throughput load count, slightly lower margin on higher revenue per load translated into $984,000 in adjusted operating income in the segment, or 303% higher than last year. Some of the things I'd like to talk about with logistics, first revenue per load. We intimated in our Q2 2020 release that revenue per load in our logistics business was the lowest it had been in over a decade. As the market, we described at that time gained momentum and accelerated through the quarter, we saw average revenue per load accelerate back to more normal levels. Next is gross margin percentage, the weaker gross margin profile of freight reflected ongoing compression between purchase transportation and revenue per load. As noted previously, we pivoted to use our company assets to fulfill a portion of this freight to our mutual benefit between the segments. Next load count and volume, we continued the trend and that we've seen over the last several quarters in putting up near record highs. While load count was down sequentially from all time record highs, it was still up 4% year-over-year. As we did last quarter, we want to share what we believe are some amazing results from our team. One, USAT Logistics revenue per employee is up 90% year-over-year. I almost feel like I should reread that bullet, it's up 90% year-over-year. And in August we saw base revenue per employee over $200,000 in a month for the first time in our history. Second, USAT Logistics loads per employee is up 41% year-over-year. And finally third, August and September were the two highest revenue months in the history of the logistics business at USA Truck. If you'll recall last quarter, I went into an old manufacturing finance analyst mode where we kind of predicted that minor shifts in upward revenue per load would allow our logistics business to flex its muscles. Well, it happened. We proposed a hypothetical that would get us to $1 million in net margin and in the third quarter, we delivered adjusted operating income of $984,000, we were so close to that hypothetical, but it came true. Let's recap. Logistics base revenue grew in the quarter and had the two highest revenue months in the history of the business while margins were down and revenue per load rebounded, while improving revenue and load per employee efficiency improved 90% and 41% respectively. Just as we did last quarter, we improved execution and lowered cost significantly both year-over-year and sequentially in a tough margin environment. That fiscal discipline led to a profit rebound that we see as just beginning. Each quarter, we like to give an update on our progress on our transformational self-help initiatives. I'll be brief about our ongoing initiative updates because I've hit on most of them already in my prior remarks. Ours is the original self-help story in the truckload space. We have been consistent in addressing our self-help initiatives since 2017. We are more enthused about our prospects for change now than at any time in the last several years. We have done a ton. We have managed the age of our fleet. We completed the acquisition of Davis. We closed down high cost facilities. We managed head count aggressively, regionalized the business, lowered maintenance costs, expanded our dedicated business and supercharged our logistics business. We believe this company is well-positioned to leverage these improvements in whatever market we face. While the trajectory of the recovery is unknowable, we expect when non-essential shippers come back and they will, freight will inevitably improve further. Capacity has come out of the market and the challenges to that are not short-term fixes. We truly are in the midst of a dual threat supply side and demand side resurgence and we have worked tirelessly to be able to take advantage of it. These factors are all positive for USA Truck. We remain focused on ways to increase utilization, improve revenue per available tractor and drive profitable logistics load count growth. The initiatives we outlined in prior quarters are moving ahead and bearing fruit. First initiative is increasing utilization on an existing fleet. As we reported, utilization moved ahead in the quarter marginally and is up over 5% more per available truck thus far in the fourth quarter. Second, is increasing our team presence in utilization. This is an interesting one we’ve made an intentional pivot here in light of the pandemic. It was very difficult to see team operators in light of the pandemic. So we focused last quarter instead on the slip seat and shuttle arrangement as a direct response to market challenges. And it is really driving results. Next is network optimization, all the footwork we did optimize our network profitability model, the implementation of a cadence and disciplined review process in refining market opportunities and the rigor of approaching customers has paid off, 9% base rate improvement in the quarter is remarkable and reflective of our focus and commitment to getting the network right. Next, was growing the dedicated business. What a difference a quarter makes? We had warned of a slowing pipeline in last quarter and that has completely flipped. Customers want dedicated capacity more than ever and we have over a 100 confirmed trucks in the immediate contracted pipeline. We just need to seat them. We remain ahead of schedule on this critical initiative. The next initiative is driver retention. Driver retention went through a downward slide in the second quarter, but that completely reversed in the third quarter. We have put intense focus as management team on interacting with, marketing to, and working with our drivers to retain as many as possible and we're being very successful at that. And finally driving profitable logistics load count, we covered this comprehensively earlier. We're just so proud of what this team has accomplished. We are well ahead of schedule on this one as well. So our outlook, as I went back and looked at our commentary in the second quarter, I was just amazed at the absolute difference a quarter can make. We are seeing more than double the EDI turndowns we were seeing just three months ago. We have strong, dedicated demand and interest unlike three months ago. Our logistics business looks great with tight margins, but super productive people in a raising revenue per load environment and pricing trends are strong. Customers are rewarding the best service providers with access to high paying freight and the capacity crunch truly looks structural and appears to have some legs for the next several quarters. Combining all of that together with our self-help initiatives and we have the perfect recipe for progress. One of our favorite metrics to look at internally is a comparison of our truck in OR with our public industry competitor’s truck in OR. Since our team began this journey in 2017, we compare everything to 2016 as a starting point and since that starting point we have closed over half the gap with the competitors in that time period. And we estimate to have made up another a 100 bps in closing the gap in 2020 and so far. And we think the fourth quarter looks even more promising. The third quarter of 2020 was the third best quarter performance from a trucking ORs standpoint that we have had in over a decade, that's amazing. If in February, at the beginning of the COVID crisis, someone had told us we would have had that kind of historic performance, on fairly certain we would have taken – we all would have taken it. And as we look ahead, we only see things improving owing partly to the market dynamics but mostly to our team's tireless and relentless commitment to making this one of the best transportation stories in the industry. USA Trucks best days are ahead and coming quickly. So with that Grant, I'd like to turn it back over to you to queue us up for Q&A.
Operator:
Q - Jeff Kauffman: Thank you very much. Well, congratulations, everybody. Just a terrific quarter.
James Reed: Thanks, Jeff.
Zach King: Thanks, Jeff.
Jeff Kauffman: So I want to do a little algebra here because I can't seem to equate the rev per mile in truckload. So if I take your revenue is up about 4%, your fleet was down 1%, so add that, so that's 5%. Your miles per truck was up little less than 1%, so that's 6%. Then it implies to me that your rev per mile should have been up about 6% in the quarter, and then your documents, you were saying up about 10%. So what am I missing in the algebra there? I take fleet times miles per truck, times rev per mile that showed equal revenues.
James Reed: Fleet times, miles times rev per truck?
Jeff Kauffman: Rev per mile.
James Reed: Rev per mile. So Zach and his team are digging into that. I mean, I'll just talk a little bit philosophically. I think the one piece that you may not fully appreciate is mix, although that should come out in the segment analysis. So we'll run some numbers here, but our fleet size shrunk, which I don't think we talked much about. Our miles was up marginally. Our revenue per tractor was up owing partly to the utilization, but also to the rate increase. So rate number, you said it was 4%. I think we reported that it was up 9.1%. So that may be…
Jeff Kauffman: Well, I did math of about 6%, right? Because your reported revenue is up 4%, your fleet was down 1%, and your miles per truck was up about 1%. So, net-net that's about 6% to get. So I'm just trying to figure out where the algebra breaks down. I figure it's mix, but I'm just trying to understand that.
James Reed: Yes. So let us get back to you on that one, Jeff. I'm not sure where the 4% number is coming from. I had it in my head, it was 9.1%. I think that's even what the earnings release says.
Zach King: In the earnings release we reported 228.8 versus 209.7.
Jeff Kauffman: All right. So that's my error then. Okay. And then I want to think about 2021 and the forward outlook. And it's hard to decide to bank on the idea that this environment stays from a demand standpoint, but the capacity is certainly tight, right? So the rates should be up for a while and you're going to be repricing for the next couple of quarters. You said you started to take some trucks in the second half. Every truckload carrier I'm looking at is still – the fleet numbers are down in the third quarter. What do you think? Just given the outlook right now, CapEx looks like in 2021 relative to where you are in 2020. And what do you need to see in terms of either OR or a level of confidence before you decide, okay, it's time to start growing the fleet again?
James Reed: So let us kind of answer that question in reverse. So I'll kind of talk about the broader issues and Zach can talk about what the capital outlook looks like. I don't know that we're ready to give a number, but we can kind of be in the ballpark. So our intent, first of all, taking the 189 trucks in the back half of this year, we are not growing the fleet. In fact, our fleet is going to be down in the truckload fleet by about 100 trucks. We did that intentionally and on purpose. And that is owing really to a performance discipline that you alluded to in your question when you asked, at what point do you decide to grow. We really believe Jeff that we don't get permission to grow until we execute well. And so when I referred to that internal metric, where we look at our trucking OR compared to our competitors trucking OR, we're still about 500 bps away from the average. And so from my perspective, this business for us to really get serious about a growth mindset needs to be performing in that kind of 88 to 92 of our space. So we're really focused over the next couple of years of refining the model, getting it profitable, paying down debt. And then when we have what we consider to be acceptable performance result, then we'll start to grow up. With that, Zach can kind of give you some ideas about what that means for 2021.
Zach King: Yes. As we look at 2021, we know we have a certain number of trucks that are coming up based on our trade cycle of five years. So, there's going to be a certain amount that we're going to have to take just to help control, to get better fuel efficiency, better maintenance cost per mile, to drive to that 88, 90, 92 OR that James outlined. So as we look forward, we do expect there to be some CapEx in next year. And by CapEx, I mean, we're going to take delivery of trucks, but we're going to take out an equal, probably an equal amount. We still have to complete that analysis. But as we look forward, there's a variety of ways to structure that. As you know, it may not be cash, it may be leased. So there may not be cash coming out, but more to come on that.
James Reed: Yes. And I just say, Jeff, that – everybody just so everybody's clear, our replacement cycle is a five-year trade cycle. How many trucks we have? You can do the math, I'll just tell you. A normal year would be us replacing about 350-ish trucks. And – but to Zach's very good point, and he's right, we don't intend to grow the fleet. It'll just be replacement capital. And then of course there's some trailers, if you think about, our trailer ratio is pretty normal for the industry, you can count it back into your same – your own number there. But I'll just tell you, I mean, this number is going to be our normal replacement net of trade credit is $40 million to $50 million a year.
Zach King: Yes.
Jeff Kauffman: Okay. That's a good way to think about it. Thank you. Final question. So the balance sheet leverage is coming down because the EBITDAR is going up and you're paying down a little bit of debt. Same kind of thought process; before you would engage in acquisitions, take advantage of market opportunities, is there a place you want the balance sheet or is there a place you want that ratio? Obviously for the right acquisition you'd stretch even if you weren't there, but that just kind of as a way for me to think about appetite for acquisitions, is there a place you want to see that debt to EBITDA number or just total balance sheet debt before you'd say, okay, strategic acquisitions move up in the pecking order?
Zach King: Yes. So we've mentioned before that, we'd like our leverage ratio to stay in that 2.5 times to 3 times. We think that for a company our size that's an appropriate amount of leverage given the shares we have outstanding. So to answer your question, I would say, we feel pretty good about closer to 2.5 times to 3 times when we start looking for other uses of that debt.
James Reed: Now we reserve the right load to be opportunistic.
Jeff Kauffman: Right. Sure. Understood. Well, congratulations. It's great to see execution and then you guys kind of moving the ball down the field, so congratulations to you and your team. Thank you.
James Reed: Thanks, Jeff.
Zach King: Thanks, Jeff.
Operator: Our next question will come from Jason Seidl with Cowen. Please go ahead.
Jason Seidl: Thank you, operator. James and team, good morning, guys.
James Reed: Hey, Jason.
Zach King: Hey, Jason.
Jason Seidl: Wanted to focus a little bit on the near-term and then I'll go longer-term after that. You talked – you sort of hinted that, hey, 4Q is going to be better than 3Q. Wanted to sort of look at it as on a per mile basis and also on the utilization basis because utilization is clearly ticking up. You're having a lot of success going more local. How should we think about that? Or maybe you can give us some numbers for the first, let's call it, whatever we are 18, 19 days in October?
James Reed: Yes. So, our average rate per mile so far in the quarter is, I really don't want to get boxed in, but I will tell you it's higher obviously than it was in the fourth quarter or the third quarter, excuse me. I think it would be helpful if I can reframe your question a little bit, Jason, to go back and just tell you more about what the quarter looked like. So we said pretty clearly that it really developed in the middle of August. We made some money in August, but the lion's share of our quarter was made in September, and October looks even better than September. And so as we look ahead, we've got this fantastic operating engine that is growing miles really for the first time in three years. And that's just owing to our great operators that we have and the cadence of the business that they have adopted. It's really kind of the secret sauce. So there is this – I'd expect 5-plus percent upside in utilization on the truck. And then in terms of rate, I would tell you that it looks like a normal Q4 surge. And so whatever that means in your model is kind of how I think about it. I'm sorry to be so nebulous, but we have 8.5 million shares. I don't want to…
Jason Seidl: No, no, I understand. Well, that's the thing, I mean, right, I mean, it turns around a lot. So when you say 5-plus percent, you're talking sequentially?
James Reed: Yes.
Jason Seidl: Okay, perfect. Can you maybe – another way to ask this and maybe to give everyone on the call here a better idea of how the quarter went. Do you have a month-by-month numbers of your utilization and your rev per loaded mile?
James Reed: We do have that, but we're not going to share it. I appreciate you try it. But it's really interesting. Our utilization went up every month in the quarter. And so if you go back and look at our past results, I mean, it's really quite fascinating. And we admire many of the best operators in this space and we try to emulate them as much as we can. And that's part of why we've gone to this regional model. It's just, it works right. And I've said before, somebody asks you why do you use [indiscernible] playbook? The right answer is because they win. And we're using their playbook because they win and we think it's the right thing to do. But what you learn in that is it's a commoditized business and everybody's subject pretty much to the same kind of wins in the marketplace. And so what becomes the secret, if you will, is the cadence. And so we've got – our operators are looking at the bottom third performers every single day and coming up with gap-closing actions with those drivers on a daily basis. And if you go to the frontline, they're keenly aware of that and locked into it and managing that process, same thing on driver retention, same thing on customer service. And so as you get in this daily drum beat of accountability around the core metrics, we've seen this pretty – to us, it looks like a pretty drastic turn and it' – there's a little bit of a sigh of relief. The things that we thought were the right things to do are in fact the right things to do. So just to summarize, it got better every month in the quarter and October is substantially better than September, in terms of miles on the trucks, yes.
Jason Seidl: And wanted to look at the dedicated side a little bit, and look out a few years. You mentioned that it slipped a little bit, but you guys were onboarding a bunch of contracts. How should we think about that OR as we go through the coming, let's say, six to nine months?
James Reed: Yes. I'm really glad that you caught the nuance of what I said. Yes, I appreciate that because – and I appreciate the opportunity to clarify it a little bit. We talked about this publicly, I don't know, a year and a half ago. We saw a unique opportunity. With USA Truck’s combined OR at such a high number compared to the industry, there were pricing spots in the market where we could go, I won’t say buy business, but price more aggressively to our competitors and still have an accretive experience to the financials. And you've been with us since that time. So I'm sure you remember that conversation.
Jason Seidl: Yes.
James Reed: So we did that. We went out aggressively to grow that business over the last couple of years and we got aggressive on price intentionally kind of sacrificing some OR to grow the business. We also said at that time that that was a short-term strategy because as the underlying truckload business improved over time, it would become effectively an internal competitor for precious limited capital resources. And as our operators in the truckload space are getting better and better and better ORs that raises the bar for the dedicated guys. We don't split it out as a segment, because it's critical to our trucking combined segment. So I don't know that I've ever said the OR publicly. It's still operating in a low-ish 90’s OR space, but we bought a little bit of business under the premise of the strategy that I just outlined and now we're tightening that up. We're working with awesome customers who are sensitive to the marketplace pressures and are responding beautifully to it and we expect it to be accretive for now and into the future. And maybe more importantly, we see it as a stabilizing force in the predictability of our future results. So that, when the market does go bonkers which it does at times, you are limited on your upside and dedicated, but you are also protected on the downside. Zack did I missed anything?
Zach King: You did all.
Jason Seidl: So James, when we look at the dedicated, I think you said obviously there was a bunch of fleet growth within dedicated, but clearly not on your over the road side, so how should we look at that going forward? You said you don't have permission to grow just yet, but as dedicated still going to grow and the over the road fleet, shrink a bit?
James Reed: Yes. That's exactly how we're thinking about it. So we – it's kind of our own insurance policy, we don't want to get caught up in the irrational exuberance of the market and just go chase rate, rate, rate, rate, rate with our trucks and find ourselves exposed like we did in 2019. So we're going to grow the dedicated business. And the way we're going to do that is, we're going to divert trucks from our truckload business and we think, honestly, especially in the first half of the year, it's absolutely the right thing to do. And then we've had, it's kind of shocking I mean a knock on wood here. We've had a lot of success, recruiting and keeping owner-operators in our business, which as I've talked to peers in the industry and listen to other people it's a real challenge in this robust rate environment. Sometimes owner-operators become mercenaries and go to the market for that short-term opportunity. But our team's just done a great job of creating a programmatic home for these guys. And so the way that we're going to grow truckload is by adding third-party owner-operators. And we're doing it well.
Jason Seidl: Well, listen this is a good story quarter for sure. I appreciate the time as always. And all you gentlemen please stay safe out there.
James Reed: Thanks a lot.
Operator: Our next question will come from Jack Atkins with Stephens. Please go ahead.
Jack Atkins: Hey guys. Good, good morning and congratulations on a great quarter.
James Reed: Hey Jack thanks.
Zach King: Thanks Jack.
Jack Atkins: So James – and I am sorry if I missed this, I was kind of jumping between conference calls here. But I think, it's interesting as we sort of head into 2021 for you guys, I mean there's obviously a right opportunity on one-hand, but there's still this opportunity to get the network, right. Which, once that's accomplished it's going to be hugely accretive. So, I guess this maybe goes back to an answer, to Jason's question earlier. But I mean, as you go into 2021, are you more focused on driving rate or are you more focused on using that as an opportunity with all this freight that's sort of being put up for grabs, that to really finally get the network exactly like you've envisioned over the last couple of years. How are you thinking about that balance between those two things?
James Reed: Look, if this sell side thing doesn't work out, you should come over and be with us. Because you're thinking the way we're thinking. What you just said is exactly where our mindset is. And again, thank you for the opportunity to talk about it. Here's what our internal narrative has been. So I'm going to step back a little bit further into 2020 before I go forward in 2021. So one of the things I talk about a lot is, day two on your operations class of your MBA program everybody learns they have excess capacity in a factory, you should be willing to run it at variable cost plus. We kind of did that in Q2. I mean, everybody should remember what a tough situation it was, especially early in Q2 we made a decision. We are making money on our trucks, variable, but we made a decision to keep the trucks running because we wanted to train our operators and trucks to run miles. And so we did that. We also as the market turned there was a really interesting phenomenon kind of in the middle of the third quarter. I look every day at our mix of broker freight and non-broker freight. And we had a couple of days where we had gone exclusively the customer freight and literally had one or two broker loads on the book. And I kind of went to the business and said, look guys this is the time when we should expose ourselves a little bit to the broker business. And so we opened up the valve a little bit to expose ourselves to broker, but to your point in terms of structurally what we focused on, that's when we really got focused on refining the network. This is an awesome opportunity to get the network that we've always wanted. And so as I said earlier, we went very surgically to customers. We resisted the urge to do across the board rate increases. And we didn't shove it down anybody's throat. We had this – I was really, really impressed with our customers and how collaborative they were in the process. We went to our customers, we worked through it. We were able to raise prices in the quarter and set long-term structural price increases in place that go well into 2021. And so if you think about it as this arc and sorry to be so verbose, but it's just a great opportunity to talk about what we did. The arc is, we went and played in the spot market, used that opportunity to reset some of our underlying freight dynamics. We now have been very intentional, when we talk about this internally all the time of moving back into our contractual relationships to support our customers now at a higher base rate water level, because they're the ones that are going to sustain us in Q1 and Q2 of next year. So we feel like we played it, I don't want to say perfectly, but we executed very well in terms of using the opportunity to reset the base and do exactly what you said. So as we look forward to next year. If you look at freight that we've re-priced already this year, that has contractual legs into 2021. So that's about three quarters of our freight. It's already at 5% increase over where we were in Q3. And I haven't gone back and done the math, but it's going to be against much easier Q1 and Q2 comps. And so we've really done what you said. We saw this as a chance and I don't want to sound like we're being opportunistic, that's not at all. It just was a responsible thing to do to work and collaborate with our customers to get to a baseline that they and we are comfortable enough within the market and to calibrate our networks so that it's copacetic for a long time to come. And again, I'm so sorry, but I'm super excited about the opportunity to talk about that. Did I answer your question?
Jack Atkins: No, you did. And I appreciate the job offer and I'll make sure my DOR knows about that as we go into that. That's, great. That's great. So maybe for my follow-up then, I guess, as we're thinking sort of bigger picture and using this opportunity to really get the network set, like you guys have envisioned now for a while. What would prevent you from you – as we look forward and I know 2021 is going to be a good year for a lot of different reasons hopefully, you knock on wood if the economy holds together. But the structural margin vision that you guys have had, mid-90 type OR. Would there be any reason why, as we sort of look forward prospectively, we shouldn't be able to sort of be running at that level going forward, now that the network will finally be in a place where you feel comfortable with or will there be more heavy lifting to do in 2022 and beyond?
James Reed: Yes. So the way we've always talked about this, and we were really consistent going back, I don't know, for two or three years, as we expect to get 200 bps to 400 bps of improvement every year versus the market. This year, we've only closed that gap by about 100 bps. So we've kind of underperformed our own expectations in that regard, but we have made progress versus the market. So as you look ahead and I'm not dodging your question, I'm getting to it. As we look ahead, I'd expect because we said it'd be a three to five-year process and we kind of – we don't throw 2019 in the first half of 2020 out, you can't do that, but they were 18 of the toughest months when post-deregulation the trucking. I mean, it was a really tough time. And so I think we're still like in the fourth ending of this thing. And so as you look ahead, I would expect that we close the gap another couple of 100 basis points in 2021. And then as we get into 2022, we should be really talking about our OR being comparable to the market average amongst our peers, that's where we are. And so when you said, hey, is this – should we expect this going forward? I would say what we just saw is aspirationally the bottom of what we should expect. I mean, I would be really disappointed in down cycles if our trucking OR got above 95 again. Our goal is to balance this thing in kind of that 88 to 92 space through the cycles, and give us a little leeway for tough years like 2017 and 2019 to say, maybe we go back to a 95 or 96, but I think the days of three digit ORs in this business are gone forever.
Jack Atkins: Okay. That's great to hear. Well guys, I'll turn it back over. Thanks so much for the time.
James Reed: Thanks.
Operator: [Operator Instructions] At this point, I am showing no more questions. So this will conclude our question-and-answer session. I would like to turn the conference back over to James Reed for any closing remarks.
James Reed: Okay. Thanks, Grant. You know, 2020 has been a year none of us will ever forget, the pandemic, five hurricanes, wide-ranging fear of elections and everyone's life turned upside down. I know I never imagined a scene like this. And yet we have no choice, but to do one thing, which is play offence. It's a singular sign that hangs in my office reminding me every day, that the only way forward is to look ahead. Lou Brock, the hall of fame based dealer[ph] who died earlier this year once said, “Show me a guy who's afraid to look bad, and I'll show you a guy you can beat every time”. We’ve made some missteps along the way, but I can tell you quite assuredly that this team has done many things, right. We're making a ton of progress. We continue to close the gap with the competitive set as we have each of the last four years and this just might be the best story in transportation. We're not afraid to look bad as Mr. Brock said, we're afraid of not realizing our potential. So we work every day, like everything depends on it, because we know our shareholders, our customers, our communities, and our families are counting on us to return this company to its once prominent place among the more profitable ventures in this space and we're well on the way. So with that, thank you all for calling in today. We appreciate your willingness to follow our stock. And really appreciate all the questions. Have a great day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.